Operator: Thank you for standing by. My name is Gail, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ventas fourth quarter and full year 2024 earnings results conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. Kindly press star one again. Thank you very much. I will now turn the call over to Bill Grant, Senior Vice President of Investor Relations. Please go ahead.
Bill Grant: Thank you, Gail, and good morning, everyone, and welcome to the Ventas fourth quarter and 2024 results conference call. Yesterday, we issued our full year and fourth quarter 2024 earnings release presentation materials and supplemental information package which are available on the Ventas website at ir.ventasreit.com. As a reminder, remarks today may include forward-looking statements and other matters. Forward-looking statements are subject to risks and uncertainties in a variety of topics that may cause actual results to differ materially from those contemplated in such statements. For a more detailed discussion of those factors, please refer to our earnings release for this quarter and to our most recent SEC filings, all of which are available on the Ventas website. Certain non-GAAP financial measures will also be discussed on this call. And for a reconciliation of these measures to the most closely comparable GAAP measures, please refer to our supplemental information package posted on the Investor Relations website. And with that, I'll turn the call over to Debra Cafaro, Chairman and CEO of Ventas.
Debra Cafaro: Thank you, Bill. I want to welcome all of our shareholders and other participants to the Ventas fourth quarter and full year 2024 earnings call. Ventas really delivered in 2024. Today, I'm happy to discuss our strong results, investment activity, and growth powered by our increasing participation in the unprecedented multiyear growth opportunity in senior housing. With our momentum, I'm also pleased to introduce our favorable expectations for 2025. Building on our strong results and positive outlook, we've also increased our quarterly dividend to stockholders by 7%. We continue to focus on creating value for our stakeholders from our advantage position within the longevity economy as we enable exceptional environments that benefit a large and growing aging population. The company effectively executed on its one, two, three strategy in 2024 and I'd like to thank my colleagues for their commitment and excellence. During the year, we took advantage of the unprecedented multiyear growth opportunity in senior housing. We delivered significant senior housing NOI growth from our portfolio, made value-creating investments focused on senior housing, and drove cash flow throughout our portfolio. Let's discuss 2024 results. Ventas delivered full year normalized FFO per share of $3.19, above the high end of our guidance range. Shop same-store cash NOI grew nearly 16%, the third year in a row of double-digit growth. As Justin Hutchens forecast at the beginning of the year, 2024 was a year of occupancy outperformance, with year-over-year occupancy increasing 300 basis points in our same-store communities. Compelling secular demand, de minimis supply, well-positioned communities in favorable markets, and Ventas' advantage platform came together to deliver results. I also want to recognize the care providers for their outstanding service to residents and their families, including their extraordinary actions during the recent California fires. In 2024, we also completed over $2 billion in accretive investments focused on senior housing. These investments met our well-defined operational and financial criteria and were selected from a much bigger pipeline of opportunities. Using our competitive advantages in senior housing, which includes data analytics, operator relationships, and our experienced knowledgeable team, these investments funded with equity increased our participation in the multiyear growth opportunity through expansion of our senior housing portfolio. They added accretion, improved our FFO per share growth rate, accelerated deleveraging, and created value. As a result of both organic and external growth in shop, in 2024, our scale grew significantly to $2.2 billion in annualized EBITDA, shop reached 43% of our NOI, and our leverage improved to enter our long-term targeted range. With nearly 8% total company same-store cash NOI growth in 2024, we also achieved the third prong of our strategy, driving cash flow growth throughout the portfolio. Compounding NOI growth from outpatient medical research and our triple net lease portfolios supplemented our strong shop performance. We also increased our Ventas Investment Management platform or VIM during the year. Started in 2020, VIM has over $5 billion in assets under management. Looking forward, we are excited about the opportunities ahead. To create value for stockholders, we intend to continue to drive shop growth and expand our shop footprint with accretive investments focused on senior housing. As a result, we expect our shop business to represent over 50% of our NOI by year-end. Our 2025 guidance anticipates normalized FFO per share growth of 7% at the midpoint led by shop. If achieved, this profile would put us in the upper echelon of three. And even as we focus on growth, we also expect to further enhance our financial strength and flexibility during the year. All the while, we'll maintain our commitment to enabling exceptional environments that benefit a large and growing aging population. So our value proposition for investors in 2025 is clear. Deliver top-tier 2025 FFO per share growth, property NOI growth, and investment growth, further improve our balance sheet, and top it off with a 7% increase in our quarterly dividend. We are optimistic about 2025 and beyond. Conditions remain favorable for our continued success. And the company continues to build its competitive advantages. We are in it to win it. We are still in the early innings of this multiyear growth opportunity in senior housing. As the over-80 population is surging, construction starts have fallen to historic lows and new developments generally are not feasible. We also expect to continue to benefit from compelling secular demand, a favorable pricing environment, robust attractive investment opportunities, positive operating leverage as occupancies rise, and a terrific experienced team whose ranks continue to grow with top talent. With that, I'll turn it over to Justin Hutchens.
Justin Hutchens: Thank you, Debra. I'll give updates on our strategy to deliver profitable organic growth in our senior housing portfolio and execute on value-creating external growth. We had a very exciting and successful year on both fronts. Starting with organic growth, 2024 marked the third year in a row of double-digit same-store shop NOI growth. I'm very happy with the execution of our Ventas OI-driven shop platform initiatives and collaborative relationships with our high-performing operators. Our occupancy-led results were delivered by contributions across geographies and asset types. Total shop same-store cash NOI growth was 16%, which is at the high end of the guidance range. Full-year same-store shop occupancy grew by 300 basis points versus our initial guidance of 250. In the fourth quarter, our US same-store NOI grew 20% and occupancy grew 370 basis points. We are outperforming our markets in occupancy growth. Our US shop communities in the next top 99 markets grew 350 basis points, beating the NIC benchmark by 140 basis points. These results were broad-based across the assisted living and independent living. Moving forward, we are highly optimistic about our senior housing business across multiple dimensions. The supply and demand dynamics in our sector are exceptionally favorable. The next five years, the US will experience an unprecedented surge in the senior population as the baby boomer generation begins turning 80. This 80-plus age group is projected to grow by 28% during this period, driving significant demand for senior housing. Meanwhile, new construction in our markets remains constrained, with inventory growth at the lowest number on record and new construction starts at an all-time low. These combined factors create an extraordinary net absorption opportunity in the upcoming years unlike anything we have seen before. We just finished the first lap of a long race. As supply-demand characteristics are projected to remain compelling over the next several years, Ventas is in a strong position to continue to drive growth in our shop portfolio. We have favorable competitive positioning driven by Ventas OI with proprietary data analytics and experiential insights which underscore portfolio actions and optimize performance. Our expanding network of 29 shop operators has consistently delivered tremendous growth while capturing market share in their respective regions. We are committed to working closely together with them to capture the immense opportunities ahead, offer a differentiated approach through collaboration and the aligned goal of delivering exceptional care services and performance. We continue to execute on our community refresh program, improving the living and working environments of our communities and therefore improving competitive positioning. We have completed 228 projects at year-end, including over 150 refreshed employee break rooms and over 4,500 modernized resident units. We are on pace to complete another 50 refresh projects by the key selling season this year, which should further enhance our ability to drive NOI. Speaking of driving NOI, as previously announced, we are excited to expand our shop portfolio by converting 45 large-scale senior housing communities comprising about 5,700 units from the triple net structure to shop. This is a great opportunity to reposition low-occupied communities that are located in markets with strong projected net absorption. We have plans to transition these communities to five proven high-performing operators with a strong track record of both transitioning and improving operating performance. We plan to execute the Ventas OI playbook to drive occupancy, pricing, environmental improvements, and ultimately double the NOI of the 77% occupied portfolio. Assuming this conversion occurs by the end of the year, we project our shop footprint to increase by 8% in the number of units and our shop portfolio to increase to account for over 50% of our enterprise NOI. Looking forward to 2025, we are excited to continue our multi-year growth trajectory as we embark on our fourth consecutive year of double-digit NOI growth in our same-store shop portfolio. Same-store shop is expected to grow NOI 11 to 16%. The midpoint of our range is driven by revenue growth of about 8%, average occupancy growth of about 270 basis points, and continued strength in pricing driving RevPAR of around 4.5%. Furthermore, we expect operating expense growth of 5%. Per usual, the results will be highly dependent on a successful key selling season and we are assuming a relatively stable inflationary outlook. Once again, we are expecting the US to be the growth engine with continued accelerating occupancy performance with over 300 basis points of growth. January occupancy is off to a strong start. Summarizing organic shop growth, we are coming off a strong year of occupancy-driven results and we're excited about the opportunities ahead as we continue to unleash the power of our advantage shop platform. Moving on to part two of our strategy, we continue to execute on value-creating external growth focused on senior housing in the fourth quarter and throughout 2024. For the full year, we closed on $1.9 billion of senior housing investments including $1.4 billion in the fourth quarter alone. These investments fit squarely with our investment criteria including 7 to 8% expected year one NOI yield, low to mid-teens unlevered IRRs, and significant discounts to replacement cost. This investment activity meaningfully expands our shop portfolio with the addition of 52 new communities in markets with strong projected net absorption. Communities are high performing with upside, including average in-place occupancy of 90%. Even with this accelerated pace of external growth, we are maintaining our underwriting discipline. In 2024, we reviewed approximately $18 billion of senior housing opportunities, pursuing approximately $5 billion, and ultimately closing on nearly $2 billion. We have a rigorous data-driven process that ensures we are pursuing the best deals for Ventas and investing within our right market, right asset, right operator framework. Our experienced team remains focused on executing our excellent growth plans and we intend to expand the team. We expect our pipeline will continue to present a large set of compelling investment opportunities with potential deals coming from a range of owners and a variety of reasons for selling including debt and fund maturities. Our investment activity also includes a range of seller profiles with transactions coming from a balanced mix of owner-operators, private equity, developers, and other institutional capital. Looking forward to 2025, we expect to keep our external growth momentum including line of sight on $1 billion of senior housing investments which are already in advanced stages. And we expect to be weighted in the first half of the year. Ventas is a senior housing partner of choice with sellers, brokers, and the entire investment community. This remains true even as there may be more competition for assets as others are seeing the favorable risk-reward in senior housing. Our industry experience, platform capabilities to manage scale, data science, and transaction track record should help to propel our growth prospects moving forward. Our investment team capabilities are second to none. And we are continuously building on our strengths. With that in mind, I'm very excited to announce Alex Russo joining our team as Senior Managing Director of Investments. During his 18-year career at Lazard, Alex has demonstrated exceptional financial and investment acumen and I expect he will be an instrumental addition to the team as we continue to execute on our value-creating external growth focused on senior housing. Now I'll hand the call to Robert Probst.
Robert Probst: Thank you, Justin. I'll share some highlights of our 2024 performance, and close with our 2025 outlook. I'll start by saying we are pleased with all we accomplished in 2024. We finished 2024 strong with attributable net income per share of $0.19. 2024 normalized FFO per share of $0.81 in the fourth quarter and $3.19 for the full year represents a 7% year-over-year increase in both periods. The result exceeded the high end of our full-year normalized FFO guidance range led by shop same-store growth and execution on our accretive senior housing investment pipeline. Our total company same-store cash NOI grew nearly 8% year-over-year in 2024, reflecting broad-based property NOI growth across our portfolio led by 16% growth in shop. Our outpatient medical and research business delivered continued compounding growth of 3% in 2024, in line with our expectations. For the full year, research grew 4.6%, and outpatient medical increased 2.6%. As Justin described, we closed on approximately $1.9 billion of senior housing investments, funded all equity. We raised $2.2 billion of total equity in 2024 and year-to-date 2025 including approximately $1.2 billion raised since the third quarter at an average share price of $62.90. We currently have $250 million of unsettled forward equity available to fund senior housing investments in 2025. Consistent with our strategy, shop growth in all equity-funded senior housing investments have further strengthened our balance sheet. At 6.0 times, our Q4 net debt to EBITDA is a 90 basis point improvement year-over-year. It has now entered our long-term target leverage range of 5 to 6 times. We expect continued leverage improvement in 2025 driven by senior housing growth. We ended 2024 with robust liquidity of nearly $4 billion, which included proceeds from our third quarter 2024 senior note issuance which we subsequently used to pay down $1 billion of maturing debt in the first quarter of 2025. Let's conclude with our full-year 2025 outlook. For 2025, we expect net income attributable to common stockholders of $0.48 per share at the midpoint. We expect normalized FFO to range from $3.35 to $3.46 per share or $3.41 per share at the midpoint which represents 7% year-over-year growth. In line with the SSL growth we posted in 2024. The $0.22 normalized FFO per share increase is driven by NOI growth in the shop business and accretive senior housing investment activity, partially offset by higher net interest expense FX, and dilution from a higher share price. Our 2025 total company same-store cash NOI guidance approximates 6.75% year-over-year growth at the midpoint led by shop. Our guidance includes senior housing investments of approximately $1 billion in 2025, clear line of sight and weighted to close in the first half of the year. We intend to principally equity fund these investments and have already raised $250 million via equity forwards. For the year, we also expect to raise $200 million through capital recycling efforts. Specific to increased net interest expense, our midpoint of guidance assumes an increase of $0.08 compared to 2024, from refinancing, maturing debt at a higher rate, and lower cash balances year-over-year. A more fulsome discussion of our 2025 guidance assumptions can be found in our Q4 supplemental and earnings presentation posted to our website. To close, we are really pleased with our 2024 performance, are executing on our growth strategy, and delivering advantage growth in normalized FFO per share. The entire Ventas team is determined to continue this momentum in 2025. With that, I'll turn the call back to the operator.
Operator: At this time, I would like to remind everyone that in order to ask a question, press star then the number one on your telephone keypad. Thank you. We will pause for just a moment to compile the Q&A roster.
Omotayo Okusanya: Okay. So your first question comes from the line of Omotayo Okusanya with Deutsche Bank. Please go ahead.
Omotayo Okusanya: Yes. Good morning. So my question actually is about the medical office building side of things. Just looking at the quarter, some occupancy declines, it appears. But in your 2025 guidance, you have pretty strong same-store NOI growth. So I'm just curious what the kind of trajectory is in that business, whether you're expecting occupancy gains, you know, refilling of some of that space that may have vacated in the year. How do we kind of think about the fourth quarter results relative to the 2025 guidance?
Robert Probst: Yeah. Thanks, Omotayo, for the question. You know, really, it started in 2024. We actually did more leasing. We had 15% more leasing than the prior year. You know, as you cycle through that, you destruction and they start coming online, start seeing meaningful results in your NOI. You look at 2025, we've already done 34% of our leasing plan, which is a terrific start for mid-February. So our plans for 2025 assume occupancy gains and the corresponding NOI growth.
Omotayo Okusanya: Gotcha. Okay. That's helpful. Then if I may ask one about the senior housing, again, everyone's very aware of what's happening in regards to demographic tailwinds and clearly showing up in your results. Curious at this point is what Ventas OI is telling you guys in regards to strategically you should be doing anything different to kind of capitalize on those demographic tailwinds, especially now you're kind of at the point where, again, occupancy is getting higher and things of that sort and demand supply demand fundamentals clearly are in your favor.
Justin Hutchens: Hi. It's Justin. Yeah. So, you know, the whole basis for Ventas OI is to really help us to focus on, you know, markets and operators. And the data from a market standpoint is extremely helpful because, you know, it really underscores all the decisions we make. It's the most important aspect of our investment decisions, disposition decisions, the decision to invest in particular assets. And the key point really is it's hyper locally focused. And that really gives us a comfort and confidence that if we make that investment, we take certain actions that's deliver growth opportunity, and it's gonna have sustained opportunity to perform well over time. And that's really the power of the platform. It's looking ahead, you know, near mid long term, and ensuring that we're as well positioned.
Omotayo Okusanya: Alright. Congrats on the other quarter and the outlook.
Robert Probst: Thanks, Omotayo.
Operator: Your next question comes from the line of Michael Griffin with Citi. Please go ahead.
Michael Griffin: Thanks. It's Nick Joseph here with Michael. Just have a touch base on the acquisition strategy, targeting more stabilized assets. So something you could talk about kind of the return profile of those where you can kind of push rate versus the occupancy upside and what sort of, kind of going in yield and stabilized IRRs you could get there?
Justin Hutchens: Yeah. Sure. So we find this to be a very unique opportunity right now where you can invest in high-quality assets that have the combination of delivering yield and growth. Haven't really seen this before. Our opportunities to invest in a variety of different senior housing. We mentioned we had $18 billion that we started to look at. We only pursued $5 billion of that and really that's because we're being extremely focused on the criteria that we set forth, which is help us to ensure that we're getting the combination we're looking for. Yield growth, and then ultimately, a high-quality, high-performing asset. So the asset that we're pursuing, first and foremost, it's high performing. These are market leaders. They're 90% occupied but that doesn't mean they don't have occupancy upside. You know, they're in markets that have strong absorption. And there's another 10% occupancy opportunity. Plus pricing opportunity, which should only improve as scarcity value increases and that will come as occupancy continues to grow. We're buying larger communities that have a mix of IL and AL and memory care services. We're in markets that have strong absorption and strong affordability and the unlevered IRRs are low to mid-teens. And that's factoring in, you know, obviously, growth and we tend to use accounts cap rates. So you can have an assurance that it's growth that's really driving that IRR. So we like this opportunity. We're continuing with the same investment criteria in 2025 that we used last year. We mentioned the billion that we're pursuing and that's lining up well with that criteria.
Nick Joseph: Thanks. That's very helpful. I'm interested, the impact of those acquisitions both identified and also potential in 2025. Could it meaningfully move the needle, or is it more kind of future growth that we would see it on a per-share basis?
Robert Probst: Hey, Nick. It's Bob. Yeah. Good news. These acquisitions are accretive from the get-go. All equity funded. Last year, we did nearly $1.4 billion in the fourth quarter. So a lot of the activity last year was fourth quarter weighted. And it was 7 to 8% yields. It's accretive. So that's certainly part of 7% year-over-year growth in normalized FFO per share. The line of sight to the new billion will have lesser contribution, obviously, just giving timing in the year. But, again, we'll continue to strive to do what we did last year.
Nick Joseph: Thank you very much.
Robert Probst: Thank you.
Operator: Your next question comes from the line of John Kilichowski with Wells Fargo. Please go ahead.
John Kilichowski: Thank you. Maybe just a circle back to that last question and talking about the $1 billion acquisition guide. I'm curious what deal flow looks like at this point right now versus maybe this time last year and the fourth quarter? And then maybe how the competitive environment is changing and the room for you all to drive acquisitions in the second half of 2025.
Justin Hutchens: Yeah. Well, first of all, the pipeline is bigger than it was this time last year. And you know, remember, we started last year's guide at $350 million. We ended up $2 billion. This year, we have confidence around a billion already. So you know, that in itself kind of demonstrates the pipeline, but we're seeing more activity. We're seeing more competition. There's certain new players at the table and some that have been around before coming back to the sector again. But it's important that we emphasize why we have a competitive advantage in this asset class. And there's a few reasons. One is the platform itself. You know, the Ventas OI, the data analytics, the experience and capital to well-positioned assets, and then making sure that we are picking the right operators. And one of the reasons I'm so proud of the amount of operators we have is because we are picking operators that have track records in their particular asset classes and in their markets. And we have the scale to manage a platform of multiple operators. It's not about how many, it's about delivering within local markets, and we can manage that. So that's a differentiator amongst most of the market that pursues senior housing. This is a platform that's taken many years to grow. It's even turbocharged, I think, in recent periods as we've reentered the competitive opportunity within senior housing and we think we'll do well and we'll look forward to continue to execute.
John Kilichowski: Got it. And then maybe if we could just jump to development here. How close are we in the cycle to having development really start to pencil? Like, what would RevPAR growth need to be in your models to get there and then typical delivery time so we could sketch out and maybe, like, a rate-neutral environment where we think supply would likely inflect?
Justin Hutchens: Right. So it doesn't seem like we're anywhere close. You know, and it varies by market. There's a wide range of rents that think are needed. It could be it's being worked from 20 to 50% higher depending on the market you're looking at. We're not seeing development starts not really a big debt financing source for development. And it's on multiple fronts and that the barriers are on multiple fronts. Anywhere from land cost, material cost, labor cost, and then just the price that's needed really to justify the spend. And it's a ways off, you know, based on what we're seeing now.
John Kilichowski: Thank you.
Operator: Your next question comes from the line of Juan Sanabria with BMO Capital Markets. Please go ahead.
Juan Sanabria: Good morning. Hoping you could talk a little bit about the R&I business and your views on risks around NIH funding changes as a result of policies by the new administration and the impact or lack thereof on Ventas' assets.
Debra Cafaro: Good morning, Juan. It's Debra. So I'll just briefly touch on that. As you know, because SHOP is growing at such an accelerated pace within our enterprise, our consolidated research portfolio is about 8% of our total NOI with 18 distinct universities. And the US leads the world in biomedical research in part because of funding from the NIH. So we generally feel positive about the long-term prospects of biomedical research in the US. And there is, as you note, some noise around the NIH grants at the moment. But at the present time, any changes have been halted and therefore the grant recipients should continue to receive their full funding. And these institutions generally have a very, very, very, very large research budget of which NIH funding is a minority portion. And of that, the only proposed changes are to a small portion of that. So that hopefully frames it up for you.
Juan Sanabria: Very helpful. Thank you. And then just as my follow-up, maybe you could provide a little color on the $200 million that's for capital recycling via dispositions, the strategy there. You talked about maybe selectively selling skilled nursing before. Is that kind of still on the bucket and what yields we should expect on that $200 million?
Debra Cafaro: Yes. And you've been writing about this. So you know it well, which is, you know, we have had a strategy of disposing of the skilled nursing facilities we acquired a year or two ago, and we've done quite a bit of that and have about $150 million pending. And would expect that to be the big part of the $200 million to which Bob referred. And we'll recycle that capital into senior housing investments.
Juan Sanabria: Thanks again.
Debra Cafaro: Thank you.
Operator: Your next question comes from the line of Vikram Malhotra with Mizuho. Please go ahead.
Vikram Malhotra: Morning. Thanks for taking the question. Congrats on a strong quarter. Maybe just first on the shop side. Can you clarify in your guide, are you baking in sort of a typical seasonal pattern in 2025 kind of dipping in one Q and then from three Q to four Q or are you baking in something different?
Robert Probst: Yeah. Sure. So we do consider kind of a historically normal seasonal pattern in our guide. And we have said we're off to a strong start in January. We'll also be the first to admit that we had very strong counter-seasonal results last year, so the new normal could change as demand's picking up. But it doesn't really change one important fact and that is that we have a heavy reliance on the key selling season. And obviously think we're well-positioned to do well, but that's always the most important season because that's where a lot of the net moving activity happens.
Vikram Malhotra: Got it. So just to clarify, you're baking in typical, like, dips and pickups, etcetera, as we go through the just as you've seen historically.
Robert Probst: Yeah. We're using historical seasonality in our underwriting.
Vikram Malhotra: And then in the same store or the overall, I guess, shop or portfolio, can you, a, just give us a bit of sense of how pricing far evolved around different occupancy bands and perhaps what percent of the portfolio is, you know, less than 80% occupied today?
Justin Hutchens: Yeah. Sure. So I'll take the second one first. About 25% below 80%. Like to remind people that the US is 84% occupied. So we have a lot of growth opportunity in terms of occupancy within the shop portfolio. In the US, pricing there's a direct relationship between higher occupancies and higher price. So we'll see, you know, the best being 99% occupied or higher, you know, we have the by far and away could be up to 900 basis points better moving rents. RevPAR is, you know, up 30, 40% in that range. The next one down 90-99. You're seeing exceptional pricing as well. And it's really that kind of below 90% occupancy category where we're not pushing pricing as much. So if you think about where we're positioned, 84%, Debra mentioned 2024 is occupancy lead. 2025, we're expecting solid occupancy growth again with good pricing support. And as we get into higher occupancies, we fully expect that they'll have the opportunity to push pricing more over time.
Vikram Malhotra: Got it. And then just last clarification on the fund business you have. Can you just talk about you've talked about the overall deal volume and the pipeline for on-balance sheet, but what about the fund and maybe MOBs or life sciences, senior housing? Like, how are you thinking about growing or tapping the fund?
Debra Cafaro: Thanks. Our fund business has been very successful since its inauguration. And we are continuing to grow that. It's been a good performer compared to its benchmarks. Yeah. And we would expect to continue to use that vehicle for the benefit of the institutional investors in it as well as, you know, Ventas because we are the general partner and an investor in it. So it's a nice additional tool that we have and have used to benefit the overall enterprise and the investors in the fund.
Vikram Malhotra: Great. Thanks, and congrats again.
Debra Cafaro: Thank you very much.
Operator: Your next question comes from the line of Richard Anderson with Wedbush. Please go ahead.
Richard Anderson: Hey. Thanks. Good morning. So, Justin, you know, I know the focus from an acquisition standpoint is high performing 90% ish type of occupancy, but you're kind of jumping out of your shoes talking about the Brookdale 77% occupied and doubling the NOI and all that. I'm just curious why the focus is on, you know, sort of lower risk if I could call that, opportunities as opposed to more value-add activity given we are in such a sweet spot, you know, in early stages of this fundamental cycle of senior housing.
Debra Cafaro: Yeah. I mean, good comment. I mean, really, we should be looking at aggregate portfolio composition just like an investor would look at, you know, their aggregate portfolio to look at risk reward, growth, etcetera. So I'll turn it over to Justin. Clearly, when you can buy things that have great risk-adjusted return, as we've been doing, we like that. But let's talk about overall portfolio construction.
Justin Hutchens: Yeah. And I mean, that's exactly right because we have a lot of upside in our existing shop portfolio from an occupancy standpoint. We've taken a lot of actions over the years to make sure we're well-positioned within that portfolio to be ready for really what we're seeing today, which is this growing demand environment. And we're like I said, we're only 84% occupied in the US. You know, if you looked at the non-same store group, half of that's actually acquisitions, the other half is in the it's in the 70% occupancy. And so where do we get those communities? Well, we moved a lot of them from triple net to shop, through conversion. So even without Brookdale, we've already converted around 100 communities from triple net to shop and that's really been the source for this kind of if you want to call it a value-add opportunity where we can really deploy the Ventas OI Playbook to the fullest, and then a nice complement to that are these high-performing acquisitions that we're making that also have really good returns and growth.
Debra Cafaro: Yeah. I mean, the investments meet the unlevered IRR expectation. That's pretty good for an asset that is well-performing already.
Richard Anderson: Okay. And then my second question is, I think someone asked what percentage of your portfolio is below 80%. You said that's 25. What percentage is currently running above whatever the pre-disruption occupancy was, say, high 80s. I mean, where do we find proof that you think that the landing point for occupancy in shop is something meaningfully greater than the starting point prior to the pandemic and so on. I wonder if you could just sort of give some color around that. Thanks.
Justin Hutchens: I mean, the yeah. I mean, there you can see well, the sector is basically there. You know, so you have, you know, the other industry that's really achieved that in the US. They're back to that pre-pandemic level. We have way over half of our portfolios already done that. As we said, we've been kind of moving communities in that we think have we repositioning to deliver outsized growth for us. So that's part of the makeup of the portfolio. And, you know, I think that the results we've had over the last few years is demonstrating the growth opportunity and you're seeing our and really just as we said it would. So we're right in the but but I'll say this, Debra said it and I said it different analogies. It's I said it. We just finished, like, the first lap of a long race. Because we're just now, like, really now getting to the period where demographics become really strong. Happens to be during a period when supply is completely muted. So it's been pretty good the last few years. Looking forward to more strength moving forward and, you know, achieving our forecast. Yeah. Rich, I used the baseball analogy for you.
Richard Anderson: Yeah. You're welcome. I appreciate that. Thank you very much. Yeah. I appreciate it.
Debra Cafaro: Thanks.
Operator: Your next question comes from the line of Michael Carroll with RBC Capital Markets. Please go ahead.
Michael Carroll: Yeah. Thanks. Justin, can you comment on the reason why Ventas might lose a senior housing transaction? I know in the sub in your prepared remarks, you said that Ventas bidded on $5 billion of deals and closed about $2 billion. So one of the reasons for those misses in 2024 is due to price, or is there other reasons that that Ventas decides not to move forward with that?
Justin Hutchens: Oh, so there's a couple I'm gonna start with why we win deals. And, you know, when you look out that the $2 billion, you know, and the billion that's coming. The obvious first thing is we're the highest bidder. You know, the next is that we had a unique opportunity. And a lot of these deals are owner-operator driven, and they'll like to partner with Ventas as their next capital partner over the long term and so that's helped us to be well-positioned with certain deals that we've won. We've had kind of quasi off-market opportunities like that that have driven a lot of the opportunity for us. We have other opportunities where we've transacted with the counterparty before. They know who they're dealing with on the other side of the table. They know that we deliver what we say we're gonna do. And that really leads to confidence in transacting with us which helps us to win opportunities. So generally, if we're not winning a deal, there's obviously a disconnect in terms of what we think the value of the asset is versus the player that bought it. So you get outbid in certain cases. Certain times, we may even expect that will happen. You know, because it might be a certain type of asset, but we have insights into the market that others might not have. So, you know, we're liking our success rate. We're usually not shocked if there's a deal that falls out on us and we usually have a lot of confidence around the deals that are the right fit.
Michael Carroll: Okay. That's helpful. And who are the peers that typically or private players? I mean, who are the main competition that you typically can't complete a deal because they outbid you?
Debra Cafaro: Well, Michael, I mean, this is Debra. One of the things that Justin said, which I think is very important, is we may choose not to bid more because we don't value an asset the way maybe someone else does, part of the secret sauce, of course, is bringing these assets on and adding the OI platform and knowing what can be delivered under our offices. And so there are plenty in there that we just choose not to bid more because we don't like the risk-reward proposition. And I would say that's the most common characteristic. There are very few deals, very few, where if we want it, don't get it. That's a much, much smaller number.
Michael Carroll: Great. Thank you.
Operator: Your next question comes from the line of Ronald Kamdem with Morgan Stanley. Please go ahead.
Ronald Kamdem: Hey. I just had two quick ones. Just wondering if you could touch on expenses a little bit. Just give us a sense of what the labor market is looking at and if that's something that is a concern as we think about going forward.
Justin Hutchens: Yeah. In the shop business, the expense forecast really assumes kind of current inflationary projections. We have 5% all in because that includes wage increases plus it includes the volume impact of the occupancy. Obviously, the flow-through is very strong, which is great. Importantly, the hiring opportunity has been very good for operators. We're on a long trend now of having the ability to fill roles, retention strong as well. So I'm gonna knock on wood and say the labor market for us has been about as good as we've seen in some time.
Ronald Kamdem: Great. That's helpful. And then just on the conversions, I think you talked about you've done a hundred and there's this Brookdale. Just as you look at the portfolio, how much more opportunity do you think there is in the next, you know, call it, three to five years and more conversions. I know they're tricky, but trying to figure out what the stamps does look like.
Justin Hutchens: That's a good question. And I have to say that the lease portfolio that remains is very strong performing, good coverage, good assets, tenants that are happy with their relative position. There may be some that we can, you know, jointly agree to repurpose into a different structure, but I think we picked most of the opportunities and now we're really focused on execution.
Ronald Kamdem: Great. That's it for me. Thanks so much.
Robert Probst: Thank you.
Operator: Your next question comes from the line of Jenna Pawlowski with Green Street. Please go ahead.
Jenna Pawlowski: Hey. Thanks for the time. My first question is on capital expenditures. The $285 million in FAD CapEx, it's up about 15% year over year. Is that this level should we expect this level to continue for the next few years, and is the Brookdale repositioning Brookdale included in this figure, or is that a separate kind of redevelopment CapEx bucket above the FAD CapEx?
Robert Probst: Yeah. I'll take that one. It's Bob. So we were about $250 million in 2024 on FAD CapEx. The guide at $285 million, call it $30 million higher, is really two-thirds more units from all the activity we just talked about, whether it's investments or conversions from triple net. And one-third just inflation. It kind of describes the difference. So I would expect as we continue to buy more assets and make conversions, including the Brookdale, that, you know, that will continue at a higher level. But it's really principally volume-based for units.
Jenna Pawlowski: Okay. And then, Justin, a follow-up on one data point you threw out that I missed. Was it you referenced RevPAR being 30 to 40% higher in your higher occupancy tranche properties versus low occupancy. Is that RevPAR growth rates are 30 to 40% higher. Did I catch that right? Or could you expand on that?
Justin Hutchens: Yeah. So it's yes. Good question. It's a RevPAR growth rate. Yeah. So it demonstrates really what we think is a very exciting opportunity around price in the future, as we get our occupancy up over time.
Jenna Pawlowski: Okay. Thanks for the time.
Debra Cafaro: Thank you.
Operator: Your next question comes from the line of Wes Golladay with Berenberg. Please go ahead.
Wes Golladay: Hey. Good morning, everyone. You mentioned competition may be picking up a little bit for senior housing. Are you starting to see any signs that cap rate?
Justin Hutchens: That's a good question. You know, so, you know, we're squarely in the range that we've been targeting all through last year and so far this year that 7 to 8% year one yield and their unlevered IRRs are basically the same. And so we're still finding opportunities that meet that criteria. And, you know, it's been, you know, so far so good focusing on those targeted returns. And as you know, ten-year rates are up over 100 basis points since even September. So that bears on it as well.
Debra Cafaro: Yeah. We gotta get the and that's another area of advantage for us is the access to and pricing of capital.
Wes Golladay: Okay. Fair point. One last one for me would be the Santeria portfolio. A few years ago, you talked about having some MOB portfolio. Are you starting to see that kick in this year? Is that more of a 2026 thing?
Peter Bulgarelli: Yeah. Hey. Thanks for the question, Wes. This is Peter. The EOP portfolio, we're really happy with. We've got 79 assets. We continue to leverage the Lillipridge playbook and the Lillipridge team. What was really solid in 2024 was we had a material impact on tenant satisfaction. We went from the lowest quartile of tenant satisfaction to the third quartile, which is a terrific step up. We also had great retention last year of 82%, TTM, occupancy was up 210 basis points.
Wes Golladay: Okay. Thanks for the time.
Operator: Your next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Please go ahead.
Austin Wurschmidt: Yeah. Just first one on the Brookdale transition. Are you assuming any headwind or benefit FFO from transitioning those assets to shop from triple net in the back half of this year? And just curious what that assumes in the underlying, you know, NOI that you identified in the release. I think it was mid $50 million range. Thanks.
Robert Probst: Yeah. Thanks, Austin. Yeah. I'll take it. It's Bob. So the assumption in the plan, in the guidance is that for the vast majority of the year, the assets remain under the triple net lease. That's the way the deal was structured. We can begin to transition them towards the end of the year. But effectively think of it as a triple net segment NOI asset for the vast majority of the year. You know, where we'll really start to hopefully see some impact is on CapEx, you know, as we start to begin the transitions. So it's really more of a 2026 story, to be honest. Is the way I would think about it.
Austin Wurschmidt: Understood. I was thinking September, those started the transition. Just high level, Justin, you know, you started last year, 250 basis points of occupancy gains assumed in shop revenue guidance. Clearly exceeded that, and this year, you're starting at 270 bps of upside. So I guess, you know, with that comment earlier about historic seasonality assumed in guidance, what gives you that increased confidence, you know, this year? And do you still think that if the key selling season delivers and you don't see that, you know, seasonal historically seasonal pattern occur, could there be similar upside?
Justin Hutchens: Yeah. Your question in itself almost kind of demonstrates the consideration because there's a lot of what-ifs in there. You know, if we outperform the winter and then we outperform the summer. And so, you know, we're mindful of how much business is obtained during that key selling season and that really drives a lot of that growth that we're projecting. So certainly, you know, if all that we check all those boxes you could see more, but there's a lot of the year to play out still and we'll go focus on executing and see where we can get.
Operator: Your next question comes from the line of Michael Mueller with JPMorgan. Please go ahead.
Michael Mueller: On the four new developments that are underway. Guess first for the atrium project that's 100% leased, that's being completed this year. Why is the stabilization in 2027? And then just kind of an update for the other three that are still leasing up?
Debra Cafaro: Right. So we kind of think of three projects, basically. And of those three projects, you know, there are two buildings that are very exciting that are in the Charlotte market that are 80% prelease. And so that's really driving the stabilization date because they're we're consolidating them basically. And so one's 100% preleased and the other one's 60% preleased. So those are going well, and we expect to get benefits from that, and they have incredible really desirable tenants, including Atrium Health, obviously. That's the name. And so that's the update on that. And the other two are kind of coming online and have significant preleasing as well. And we're gonna continue to try to achieve targeted leasing.
Michael Mueller: Got it. And maybe if I could squeak one other one in there. Excuse me. You talked a little bit about looking at larger properties with ALIO and memory care in there. I guess, what are the high-level thoughts on entry fee communities today?
Justin Hutchens: Yeah. So, you know, there's the I mean, if you just step back, you know, you have an 80-plus population that is surging. So everything every service offering that's facing that should have opportunity. That includes interest fee communities. We don't invest in those currently. Clearly, they have a place in the market and they've done well. So I would expect that there's opportunities there. We're rental focused and obviously we've had a lot of growth and we expect really good opportunities moving ahead.
Michael Mueller: Got it. Thank you.
Debra Cafaro: Thank you. Thank you.
Operator: Your last question comes from the line of Nicholas Yulico with Scotiabank. Please go ahead.
Nicholas Yulico: Thanks. I just wanted to see if you could give a bit of a refresher here about how to think about RevPAR growth in senior housing. So you, you know, you talk about the 7% January rent increases. And then for the year, I think the guidance is 4.5% on RevPAR. So what's sort of the, you know, the difference there, imagine something on new lease pricing and how should we think about, you know, I guess, the ability for that dynamic to change.
Debra Cafaro: Yeah. Justin is gonna answer that. I mean, generally, it's about two there's a kind of a two-thirds relationship between the RevPAR and the January increases. But I'll let Justin unpack that a little bit for you.
Justin Hutchens: Yep. Great. It's a great question. It's a big topic. Because it's not simple. So, you know, first of all, in the US headline number is actually 8% in the US in terms of rent increases. That's similar to what we did exactly what we did last year. We feel good about, you know, the US rent increases. The rest of the year, we'll have anniversary rent increases and usually that's, you know, kind of in a range around 6 to 8% or so. And here's how it works. And so you have a rent increase. The rent increase in January is really only impacting about half the population. There's a percentage of the population that were new move-ins, you know, in the fourth quarter and aren't getting an increase. And then you have anniversary increases the rest of the year, so they'll blend in over time. Assisted living and memory care, you have level of care revenue. And that level of care revenue is like 20%. It's memory care. Rose over time during the length of stay of the resident. When they're replaced with a new resident, that new resident's coming at a lower acuity and therefore paying a lower level of care charge. And so you have that that's kind of a that's a drag on your potential RevPAR. Another thing that is an area that about opportunity really for the sector is to see move-in rents actually equal in-house rent increases. And, you know, we expect to see the improvement in that metric over time, but generally, it lags. And so that's how you're getting to that two-thirds result that Debra's describing. And, you know, but we think that having said that, there's a lot of opportunity given the affordability of the market, the demand at the doorstep, and the fact that occupancies are going up and scarcity value is being created.
Nicholas Yulico: Okay. That's very helpful. Thanks. And then just second question is on the guidance. I just want to be clear. I mean, it sounds like there's we should think about the acquisitions being funded with equity. So there is a higher share accounting guidance. To be clear, should we be modeling, you know, a billion of equity raise in guidance? And then, Bob, I don't know if you have a sort of a year-end debt net debt to EBITDA sort of outlook.
Robert Probst: Yeah. So on the latter point, we definitely expect to continue to improve net debt to EBITDA. You know, we're now at the high end of the range. And we're gonna continue to strive to drive that even further down. So that's and that's true in my senior housing, both organically and inorganically. So yes. Check. In terms of the funding, all equity funding, senior housing investments, has been a winning formula. And that is our assumption, effectively, in the model and as I mentioned, $250 million raised under forward. So we're in good shape in that regard. And the number on the shared account reflects that.
Nicholas Yulico: Alright. Thank you.
Debra Cafaro: Alright. Well, I just want to thank everyone for joining us today. We appreciate your interest in support of Ventas, and gonna continue to try to have an excellent year in 2025.
Operator: Thank you so much, ladies and gentlemen. That concludes today's call. Thank you all for joining. You may now disconnect, and have a nice day, everyone.
Debra Cafaro: Thank you.